Peter Hoetzinger: Good morning, everyone, and thank you for joining our earnings call. We would like to remind you that we will be discussing forward-looking information, which involves risks and uncertainties that may cause actual results to differ from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements whether as a result of new information, future events or otherwise.  
 We provide a discussion of the risk factors in our SEC filings and encourage you to review these filings.  
 Throughout our call, we'll refer to several non-GAAP financial measures, including, but not limited to, adjusted EBITDA. Reconciliations of our non-GAAP measures to the appropriate GAAP measures can be found in our news releases and SEC filings available in the Investors section of our website at cnty.com.  
 I'll now provide an overview of the first quarter 2021 results as well as our outlook for this and next year. After that, my co-CEO, Erwin Haitzmann, and our CFO, Margaret Stapleton, will join me for a Q&A session.  
 For the quarter, we delivered net revenue of $136 million, an increase of 25% over Q1 of last year. The increase came from the additions of the Nugget in Nevada and Rocky Gap in Maryland, as well as good performances of our Canadian operations, offset by extremely bad weather, a weaker retail customer, construction disruption at a few properties and the temporary closures of 3 casinos in Poland.  
 Adjusted EBITDA was $21 million, down 18% from last year. The U.S. operations were flat and Canada was up, but Poland and the Corporate segment were down. So it was a rather challenging start to the new year.  
 While we knew our performance was comping to a strong first quarter of '23, the results were also impacted by severe winter weather. As you've heard from others in regional casinos, January was essentially wiped out because of weather. And because most of our casinos are located outside of major cities in destination areas such as Rocky Gap, Mountaineer, Century City or Cripple Creek and [indiscernible] Caruthersville, our customers need to drive half an hour, an hour, or more outside of city lights and urban streets. You can imagine the dramatic impact winter storms with unsafe driving conditions have on this situation.  
 In addition to the January weather, we faced several other transitory issues as well. Three of our casinos in Poland were closed for some or all of the quarter, 2 reopened towards the end of the quarter. And the third one, the largest of the 3, will reopen in Q3. So from about August on, we will have all 8 casinos in full operation again. Also, our increased spend on capital projects throughout our properties caused construction disruption at most of our casinos. And finally, remember, we acquired Nugget and Rocky Gap just about 12 months ago, meaning we are still early in the process of managing everything as one cohesive portfolio.  
 But to really get a good picture about what was going on in the quarter, we need to take the weather impact in January out of the equation and look at February and March. And what we see is that, beyond January, gaming volumes from our core customers actually grew. In addition, operating margins in February and March were better than in Q4 of last year, and they were very close to the margin of Q3 of last year, which is typically a very good quarter. So there's no [ working ] trend or anything like that. I mean, all of the substantial declines happened in January. February and March were quite normal. In fact, March showed signs of real strength at our properties.  
 Take Nevada, the slot revenue in the Reno-Sparks Nugget was down 3%, but slot revenue at our Nugget grew 9%. In Colorado, same-casino backlog were up 3%. Our casino was up 7%. In Cripple Creek, the market was up 2%. We were up 6%. And while Missouri slot revenue was down 1% in March, we were up 2%. Very encouraging signs as we move into the second quarter.  
 Looking at the segment results for Q1, we start with the Midwest, which includes our Colorado-Missouri operations. Revenue for the segment was flat year-over-year. EBITDA was down 9%. That's not bad at all considering the January weather as well as construction disruption at both Missouri properties and also considering that Cripple Creek was totally closed for 2 full days in March because of a heavy snowstorm.  
 In Cripple Creek, a competing property opened directly across the street from us with 300 hotel rooms, which certainly increases the market. And as anticipated, we continue to benefit from our proximity to their location. As mentioned in March, we outgrew the market. And April is up double digits as well.  
 In Missouri, revenue from retail play was up 6%. Both the number of trips as well as the spend per trip increased. Retail play was softer, mostly because of the weather in general and disruption from construction at both properties. But in March, Cape Girardeau bounced back and set the new all-time record for table game revenue, the highest since inception. And I'm happy to report that the strong performance continued into April, which posted the third highest table games revenue in that property's history.  
 Last month, on April 4, we opened our new hotel, The Riverview, at Century Casino Cape Girardeau [indiscernible] transforms the property into a full resort destination, offering gaming, dining, conferences, concerts, events at more. And it's off to a great start, better than we expected.  
 Total project costs was $ 31 million. We funded that with cash on hand.  
 In Caruthersville, construction of the new permanent land-based casino hotel is progressing according to budget and schedule. We plan to open at the end of this year. That new property will have a total of 74 hotel rooms, 12 gaming tables and over 600 slot machines, which is a 20% increase in gaming positions compared to the old [ Riverwalk ] and a 50% increase in gaming positions compared to our current interim casino. The way we think about it is this, it's a significantly enhanced facility moving from an on-river boat and a small temporary location to the dry side of the levy, a brand-new land-based casino with a hotel, convenient parking and convenient food and beverage amenities and a much better environment overall. The new property will provide significant operational efficiencies. It will be much more convenient for our customers, and it will certainly increase our catchment area. We expect a good uplift on the overall performance from that property, both revenue and EBITDA. The project is fully funded by VICI at an 8% cap rate.  
 Our East segment includes the Mountaineer Resort in West Virginia and the newly acquired Rocky Gap Casino Resort in Maryland. Because of that new acquisition, revenue for the segment was up 44%, EBITDA was up 23%. In January, both properties suffered a lot under the bad weather and unsafe driving conditions as they are both destination resorts with many customers having to drive 2 or 3 hours to get to our casinos. So, not surprisingly, the number of trips declined significantly, but the spend per trip was up a bit.  
 At Mountaineer, available hotel rooms, hours of operation for casino and food outlets are still limited as a result of continued staffing challenges. However, it will get much better next month in June with many [indiscernible] [ Visa ]-holders returning and allowing us to improve and expand our offerings. We will enhance our entertainment offerings throughout the year to further diversify our portfolio, giving our guests more reasons to choose us for their entertainment.  
 Rocky Gap enters its busy season now in early May. We anticipate rebounding travel and capture of pent-up travel demand throughout the summer. Great amenities, such as our newly constructed swimming breach, in addition to continued enhancements of menus in [ SAP ] will allow the property to maximize wallet share. Within renewed marketing efforts in the major feeder markets, Pittsburgh, Baltimore and the DC Metro area, we expect to attract more affluent customers and grow the overall database.  
 Continuing to the West segment, which includes the Nugget Casino Resort in Reno-Sparks Nevada, the Nugget saw mixed results during the quarter compared to prior year. Average spend per trip increased by 4%, but trips during the quarter decreased by 8%. Performance from the high-end segment was strong, increasing by 18%, but the low- to mid-tier segment decreased 6%. Our management team is working on refreshing restaurants and bars and upgrading the sports book. And in 3 weeks, the high-limit VLT slots area will open. We are optimistic that the second half of this year will be strong and most of the transitional extraordinary expenses, as well as most project CapEx and the disruption that comes with it, will be behind us.  
 Our properties, entertainment and special events calendar looks great. We see strong bookings. And all of that points to a very busy summer season for the Nugget. 
 In the Canadian segment, our 4 properties in Edmonton and Calgary continued their great performance of last year also into this quarter. Revenue grew by 11% and EBITDA was up 13%. All of our properties were up in revenue as well as EBITDA. So it's overall a very promising start into 2024 for Canada.  
 In Poland, as mentioned, 3 casinos were closed for some or all of the quarter, which resulted in a significant drop in revenues. But Casinos Poland was able to renew their licenses for all 3 cities, and we have reopened 2 of the 3 casinos a few weeks ago. The third and largest one will open at a new location in [ Wroclaw ] in Q3. After the final reopening, results are expected to get back to normal levels quite quickly, and normal levels are around $11 million, $12 million in EBITDA. 
 Let's discuss our balance sheet and liquidity position. As of March 31, we had $137 million in cash and cash equivalents and $342 million in outstanding debt. Net debt is $205 million. The main reasons for the decrease in our cash position are cash payments of approximately $12 million for taxes on our Canadian real estate sale, a $4 million onetime principal pay-down of debt as well as approximately $18 million in property and equipment purchases.  
 Traditional net leverage is 3.5x and the adjusted net leverage is 4.3x. We are okay with our leverage as we don't charge our leverage just based on a onetime snapshot, but rather look at its development over time. The leverage is elevated because of our recent significant acquisitions and investments. It will play above the long-term range until we have fully integrated the acquisitions and until we have completed our CapEx project later this summer, around Q3. From then on, it should lower down to closer to 2x traditional and 4x as adjusted for next year.  
 Our lease obligations to VICI currently total approximately $15 million per quarter. Once opened, the permanent land-based facility in Caruthersville towards the end of the year will go up by $1 million per quarter. So as a rough run rate for next year, for '25, total lease payment to VICI will be around $16 million per quarter.  
 Interest payments are on our Term loan B currently amount to $10 million per quarter. 
  Please note that we have no debt maturities until '29, and we have additional borrowing capacity of $30 million under our revolver, and we can reprice or refinance the entire term loan at any time without penalty. So as soon as the window opens, we want to act on it and improve our terms.  
 Turning to CapEx, we are nearing the end of our $40 million CapEx program as we are finishing several construction projects that we expect to generate a 25%-plus EBITDA return and will complete an elevated CapEx cycle for the company. The newly opened Cape Girardeau resort open a month ago and so far exceeds our initial expectations with higher cash ADR than budgeted.  
 Further, we are upgrading many of our [ S&P ] outlets throughout our portfolio in the U.S. and Canada. We're also refreshing and updating our hotel product. Currently, we are renovating rooms at Mountaineer in West Virginia as well as our Colorado properties. And at the Nugget, we are upgrading restaurants and bars as well as the sports book. We are putting in a new high-limit VIP [indiscernible] area, and we are improving our VIP hotel suites.  
 Beyond upgrading our property amenities, we are also getting closer to completing our permanent land-based project in Caruthersville. All of these projects will enhance the competitiveness and appeal of our properties. We position them for higher-value customers and will deliver attractive returns on capital to drive growth in their segments.  
 So, as we report this quarter, we are moving closer to the step-down in CapEx spend and a substantial increase in free cash flow. We are about 4 to 5 months away from that. By late summer, we'll see significant reduction in CapEx as we move forward. Free cash flow will be improving substantially both from revenue growth due to [ the built ] facilities and a better customer experience and from a reduction in CapEx, and our casinos in Poland will be up and running by then as well. That will lead to a significant positive change in terms of cash generation.  
 Whilst you can expect to burn $30 million this year, we should generate about that amount in positive cash next year. Our presentation posted on our website shows you the bridge from the negative to the positive cash generation from this year to next.  
 Again, we are in a transitory period right now, but we have a clear plan to fully focus on generating cash to deleverage and opportunistically also buy back stock later this year and next. We are fully focused on the projects that we have underway and are looking forward to the end of the current intense CapEx cycle.  
 Having said all that, we continue to see a softer retail customer. That trend is not worsening, but it's still soft. The retail customer is more economically sensitive to inflation and other changes in the economy. It's those customers that still seem to be more cautious about how they are spending their discretionary dollars.  
 Looking ahead, we remain encouraged by the continued strength in play from our core customers and the strong initial performance of our new hotel at Century Casino Cape Girardeau, as well as the impact our current CapEx program will have on our operations. Our positive outlook for the second half of this year and into '25 remains unchanged. With all properties being in great shape in '25, we see us approaching $700 million in revenue with a 24% EBITDA margin. Our CapEx in '25 should come in at approximately $20 million to $25 million, almost all of which will be regular maintenance CapEx.  
 In closing, I'd like to reiterate our enthusiasm for the second half of this year and for next. From the third quarter on and certainly next year, results and free cash flow should improve significantly for these reasons: we will be at the end of our elevated CapEx cycle; Nugget and Rocky Gap will be fully integratedl all casinos in Poland will be up and running; we have the new permanent land-based facility in Caruthersville; and there will be no more construction disruption.  
 And the only other point I'm going to make is that, from a guidance perspective, last year, we had softness in the second half. So we think that's an opportunity in the second half of this year, since that comp is going to be a little easier to meet.  
 All right. That includes -- that concludes our prepared remarks. We'll now open up the call for Q&A. Operator, go ahead, please. 
Operator: [Operator Instructions] We will take our first question from Jeff Stantial from Stifel. 
Jeffrey Stantial: Maybe starting off on the acquired Rocky Gap property, if we just look at the East results during Q1 and sort of contrast that against some of the data reported by the Maryland regulator, it seems to me that, even after the weather wrapped up, there's perhaps still some underperformance relative to what that asset did under legacy ownership and even more so relative to sort of trends during Q4. I guess, first of all, am I correct in that analysis? And second off, I guess, what do you attribute that to? And sort of what do you see as the road map on ramping that property back up to kind of how you underwrote it? 
Erwin Haitzmann: Thank you, Jeff. Great question. Let me answer that. I think a very important aspect when looking at the Maryland statistics is that they are really not giving you the typically and the correct picture. Due to our -- if you look at the map, we are at the very west of Maryland. And you have to keep in mind that almost 60% of our customers are coming from the southwestern Pennsylvania area. So it's those customers in those areas that we really have to look at in order to get a good insight into the comparisons. And when doing that, we see that our regional peers in that area also have seen weakness.  
 And in particular, for Maryland, in addition to the weakness caused by weather, we also had, in Q1, integration challenges with -- in connection with the replacement of the slot accounting and loyalty system. But that's behind us as well.  
 And that same comment -- and that's maybe for another question -- with regard to the geography, I would also refer to West Virginia because about 2/3 of our customers are coming from Ohio and not from West Virginia. Our roadmap going forward is that we hopefully get through the -- or are through the integration challenges at Rocky Gap. We are diligently working on analyzing the customer behavior and the marketing data. We see good progress already. And with the good changes that Peter mentioned before with the swimming beach and the improvements of the restaurants, we feel very positive that we are on the right track. 
Jeffrey Stantial: Great. That's very helpful color. And then for my follow-up, Peter, it sounds like, in the prepared remarks, if I heard you correctly, it's from a consumer -- unlike consumer behavior perspective, it's a lot more of the same, some hesitation from the lower income in the retail customer, but that core mid- to high-worth player kind of trends there remain somewhat unchanged. I guess, in that light or under that context, my question is, have you changed at all? Or do you have plans to change at all your promotional strategy and kind of the offers you're putting out to your database? Or is it really more a function of sort of targeted CapEx and some of the improvements you laid out on the call as kind of the key drivers? 
Peter Hoetzinger: [indiscernible] time for you, then I'll also respond to this question. Whenever we take over a new casino, we analyze what the previous operator has been doing, and then we compare that with our approach. And typically, we see what we think is opportunity. And we then start a, hopefully, intelligent trial-and-error chain, trying out various new approaches in marketing with small subgroups of the various subdivisions of our customers and test them for whether they work or not. And this optimization process works. But obviously, that may take a little while. So not always are the first things we try successful. But as I say, with the chain of hopefully better and better approaches, we then are able to optimize what has been the strategy before into our modified new strategy.  [indiscernible] 
Jeffrey Stantial: [indiscernible] Okay. That's perfect, very helpful color. 
Operator: And we will take our next question from Jordan Bender with Citizens JMP. 
Jordan Bender: I want to stick with the consumer question. In Reno, you kind of talked about the high-end consumer doing well where that lower and even mid is starting to maybe weaken or, I guess, stay weak. That's similar -- at least on the middle end of the database, that similar commentary we're hearing from some of your competitors in the south part of the state. Is that middle-end customer weakening more? Is it continuing into April? Or just any color on that would be great. 
Erwin Haitzmann: This is Erwin again. I think what we're seeing in the beginning of Q2 is that, in particular, the Nugget we see increases in local play. And it really has to be seen from a -- we have to differentiate also with regard to radius. In addition to the locals market, we obviously try to reach into the Sacramento area, greater Sacramento area, let's say. So these customers that are traveling from further away are typically the weekend customers. And there, we see less of a weakening. And in fact, when somebody is taking the effort of -- when we're able to attract somebody who comes from further away, typically their spend is higher anyway.  
 With regard to the retail play, which is typically also within, say, 25, 50-mile radios, we continue to see weakness, and we just have to observe how it's continuing. 
Jordan Bender: Great. And I actually want to stick with Reno. I wanted -- the 50% option on the land of the Nugget, as you look at your balance sheet nearing the end of this CapEx cycle and you look at your lease-adjusted leverage and kind of where that sits today, can you just kind of update us what kind of makes sense here in terms of would you look to acquire the remaining land? Or would you look to utilize your REIT land to kind of bring cash on the balance sheet? 
Erwin Haitzmann: Absolutely. Peter, would you like to take that question? 
Peter Hoetzinger: Yes, Jordan, as we sit here today, we still have some years to go on that to make the final decision. But currently, it's -- the best investment into casinos is most likely our own stock. And that would probably come before exercising that option. As we move closer to the expiration of the option, in a little bit less than 3 years, that may change. But as I said, we have some time to make that decision. 
Operator: [Operator Instructions] We will now take our next question from Chad Beynon with Macquarie. 
Chad Beynon: Peter, Erwin, I wanted to start with the Riverview opening. Can you provide -- I know you said that everything is on track with the 25% return and things have gone well. But can you provide any more metrics in terms of maybe what you're seeing in terms of new sign-ups, hotel rates? Obviously, it's early and the summer is probably going to be a bigger seasonally peak period. But any additional color in terms of progressing towards that return would be helpful. 
Erwin Haitzmann: Chad, it's a bit early really to say anything meaningful and of substance. All we could give you is the impressions that the customers that come and stay there, they are super-excited and they love it and they love the completion of the whole product that finally now that Cape Girardeau has everything that's necessary for a little country resort. And that's all super positive. We get nothing but great feedback. It's high quality. I think we're the highest quality -- without doubt the highest-quality possibility to spend a night, both from a hotel room quality as well as from all the other things that you can do in the evening before you go to bed and in the morning when you get up.  
 But I think, for Nugget, it's too early. 
Chad Beynon: Okay. And then, regarding Poland, you said, when all of the properties are open, you'll be back to that $11 million or $12 million. So does that kind of imply that maybe the same-store revenue per position or revenue per property in terms of what opening is doing what it had been, maybe FX-adjusted, pre-COVID? Again, some additional help in terms of getting back to that 11% to 12% would be helpful. 
Erwin Haitzmann: Definitely same-store sales are up, significantly up. 
Chad Beynon: Okay. So there's nothing that -- with respect to what's going on in that region, visitation has been fine and improving? 
Erwin Haitzmann: No, no, it's been totally fine. And when you say what's going on in that region, that doesn't affect our business at all, certainly not negatively. If it affected it all, then positively because, over the course of the past, let's say, since the Ukraine, a number of Ukraine businesspeople have permanently moved into Poland and many of them into Warsaw. And so we now have additional [ excellent ] customers that are potential visitors of our places. But business is completely solid. So we feel very strongly that we can come back to those $11 million, $12 million in EBITDA. 
Chad Beynon: Good to hear. 
Operator: And it appears that we have no further questions at this time. I will now turn the program back over to our presenters for any additional or closing remarks. 
Peter Hoetzinger: Well, thank you, everybody. We appreciate you joining our call today. We will talk again after the second quarter. Until then, thank you very much. Goodbye. 
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.